Operator: Hello, ladies and gentlemen. Welcome to the Conference Call 9M 2023. [Operator Instructions] Let me now turn the floor over to your host, Christoph Vilanek.
Christoph Vilanek: Thanks for the opening and a warm welcome to everybody on the phone on this rainy Hamburg morning. Thanks for joining our 9 months report conference Call here, and let me get started immediately with the overview on the core KPIs. We have been able to grow the subscriber base year-over-year by 4.8%, which is very much in line with our expectations and exceeds the expectation on the TV side, which I’m going to illustrate a little later in more detail. Same as in EBITDA, we are ahead of our 9 months plan, and therefore, we have a slightly adjusted the guidance. We expect an EBITDA outcome just about €500 million, and this is why we have changed the guidance or attempted the guidance to in a small range. Revenue is also up. You all are aware of the fact that revenue is not the core KPI in our day-to-day business due to its reflection of hardware sales, which are typically not so valuable. And even better performance on free cash flow plus 6.3%, which also made Ingo changed the guidance for this point. If we go one step down further into the more operational KPIs, the core driver of value and future sustainability and resilience, obviously is the total subscriber base year-over-year, as already mentioned, we’ve been able to grow it by 400,000, representing 4.8%. If we do a breakdown on the 4 different fields or the 2 segments and 4 different elements, you can see that on postpaid growth was 2.1%; on FUNK & FLEX, which are monthly tangible products are – it’s plus 13%, but certainly on a smaller scale; waipu.tv with plus 40% in a significant growth path and significantly overcompensating the downturn on freenet TV, which is both in our internal – from our internal view, very much in line with our planning and expectations. Big picture, mobile net adds, plus 170,000 and TV adds plus 263,000. If we go into the postpaid, I think I’ve already mentioned a couple of things. I think we are on satisfactory level. If you remember, at the first conference call this year, we have said that we expect a growth of around 100,000 to 130,000 for the full year. As you can see, we are on that level already by the end of September. October has been also within our expectations. Now it’s the final season with Black Week offers and on and so forth. We still see that telco market seems to be in a better shape than our hardware, entertainment and PC equipment. So we are expecting also a positive – slightly positive development also for Q4. What are the things that we are working hard on, you all remember that we have changed about 18 months ago from the old brand mobilcom-debitel to the brand of freenet. It took us 6 months to get into the same level of brand recognition. So actively prompted recognition, but we now focus heavily on brand awareness and brand awareness. So that’s the unprompted question on, do you – which telco operators or telco providers do you know, we are growing there, 50% sounds a lot. We are still on a comparably small level, but we are on a higher level than we have ever been on mobilcom-debitel. We continue to send that simple, straightforward message "freenet, fertig, los!" to the audience. And we have invested more into sponsorships on TV than we did in the past, and there is more to come. There’s also a couple of sports events, specifically the handball championship, which is taking place in Germany and we’ll be one of the main sponsors and we expect brand awareness and brand recognition to grow even further, which is a prerequisite of successful sales and distribution. More or less the same is on waipu.tv. We have also indicated that we will spend about €10 million – invest about €10 million in above-the-line activities due in the course of Q3 and Q4 of 2023. This is obviously already reflected in Q3 numbers and will also be reflected in Q4 numbers. You can see that during this last quarter, Q3, we have gained about 80,000 net adds. Overall, we think that is not only in line with our internal planning, but it’s also reflecting the strength of the brand. Right now, we’re doing a couple of tests, specifically to address cable customers. We are all aware that the cable auxiliary cost privilege will go away in July next year. We are regularly reviewing the awareness of this in the public notion. It’s growing, and we are trying to push and learn more. Right now, 2 quarters in Munich are addressed with our out-of-home campaigns, leaflets and even direct mail, where we basically state or educate the consumers that they can go away from cable by mid-year 2024, and we are expecting a lot of qualitative results within the next few weeks, which will then be reflected in the types of campaigns that we will initiate from January onwards. We are continuing our TV campaigns with the testimonial of Dieter Bohlen, which is one of the most famous individuals on German TV. So we’re doing a good job there, and I’m very happy that we are finding a foundations within the cable audience day-to-day with a growing awareness. On the freenet TV side, you can see that the downturn or the loss of customers is still continuing. We do still interview customers on the driving force for canceling the contract and it continues to be the reason that these people either move to another place where then they have another equipment or they don’t pay because they don’t want to continue to pay because the consumption of private and premium TV is too low to justify the clear expense according to what they tell us. We still believe that a couple of activities such as the coming hybrid stick and other stuff will help to slow that down, but we have to acknowledge that we are still losing. And I think that is a good point to turn over the page to Page 8. We are not only trying to inform cable customers, but also to convert cable customers. There is a total audience of about 12 million households connected to cable. There is a mix of statements and research on how many of those will be ready to change their access technology within the 24 months. I have learned from Vodafone that they expect only 30% to move away. There is surveys stating it’s more going to be 50%. I think it’s too early really to say this is why we do testing. This is why we do interviews and qualitative research. And this is why we expand our presence, not only with waipu, now in MediaMarkt, not only with integrating the zone into our EPG and also making sure that the Sky/WOW app is now available on our TV stick. But we do a lot of press releases, a lot of advertising to really engage with this potential audience that is going to be available for us over the next 2 years. One addition I think we have spoken before about a so-called hybrid stick. So waipu.tv stick with on Android platform, which will not only deliver IPTV via waipu, but it will also deliver DVB-T2, so terrestrial. So it is our weapon to actively self-cannibalize and retain the freenet customer base within the freenet Group. But it’s also the toolbox to attack the cable market because this hybrid stick is also able to handle regular DVB-C, so cable signals. So we can basically tell the customer, why don’t you move on, get hold of our stick, get hold of our technology and device and install it and decide for yourself at what stage or what time you want to move. And these people will then continue to have cable but see on the EPG, which additional channels and features that we will be – we are able to deliver via our IP. We think this is kind of a trillion hours that which we’re trying to bring into private households big time next year. And we will certainly report on the effects of learnings from this at later stage. This brings me to the outlook for Q4. I think nothing really, really surprising. We continue to work in mobile on our marketing campaigns. We are in the later stage of or a last stage of implementing our new retail format APS, which we also will then give away more detail early next year. We are planning to launch it in March and implemented over 6 months across all our own retail stores as well as our franchise partners. And a part of the free retail, and we are – we have just closed a session of interviewing with about 60 providers of glass fiber, and we are preparing our strategic view and our strategic move into the marketing also of glass fiber Internet connectivity, which we also want to start at a slow pace because I think it’s early stage next year, but we are definitely ready to play it into a similar role in glass fiber that we do on mobile as a service provider. And on TV, I think I don’t need to repeat that there are a couple of important steps mainly on waipu, which will enable us to further growth and accelerate growth. I expect for the end of the year, more than 1.3 million subscribers and our target for next year is to get close to the 2 million or beyond the 2 million subscribers. Having said that let me hand over to Ingo Arnold for the more financial focus of the presentation.
Ingo Arnold: Thank you, Christoph. Good morning, everybody. I start with a Group view. And I think I can quote Christoph also here because the figures are not really surprising. They have not surprised us. And from your consensus, we could also see that they also have not surprised you. So we are definitely in line with all expectations. On the revenue level, we see again a quarter with an increase. This increase is based both on mobile and on TV. And even with lower hardware revenues, this was possible. And as you know, lower hardware revenues are no problem in our eyes because the profitability is low. And EBITDA on the stable level, but I think what is important is that on the other hand, we see an increase in this quarter, again, on a gross product level. So the business is very healthy. The business is very sustainable. This is something what we saw during the whole year. And the gross profit in the third quarter is a confirmation of what we saw in the other quarters. On an EBITDA level, it is only stable compared to Q3 2022. But I think we reported very often and all of us and also you expected a downgrade in TV in this quarter, a reduction of EBITDA because we invested into waipu. On the other hand, in mobile, there is still an increase. The outlook to the end of the year, definitely, and Christoph already mentioned it, we expect something like €500 million or slightly above €500 million. And I think we think this is totally feasible because we had some one-off headwinds in 2022 in the fourth quarter. And these headwinds, we would do not expect this quarter and the following quarter. So €500 million definitely is feasible for us. Next page about the mobile business. Again, here, very resilient during the whole year 2023, we see an increase in revenues, mainly driven from higher service revenues and higher digital lifestyle revenues. We see again an increase in the gross profit and also here on the gross profit level, a very sustainable level if you compare it with the last quarters. And here, also on the EBITDA level, we see an increase. I think, yes, definitely in cost, we – on the other hand, we see an increase. This is also something what we forecasted input was not surprising to us because as everybody, we have inflationary points here, especially on the personnel cost side. But I think all in a very, very good result what we show here. Looking into the KPIs of the mobile business. I think, you see it, do we have something new? No, not really. Digital lifestyle revenue increase I already mentioned here, in a high-margin area, therefore, also EBITDA relevant. On the ARPU side, yes, the ARPU is higher than in the last quarter, but this is mainly driven by roaming and traveling. So I would not see a change here on ARPU levels, I would still state that the ARPU is stable, and this is also something what we saw during the year already. Moving to the TV business on Page 13. And here, we see the increase in revenues, mainly driven by the strong development of subscribers at why could we be – and this is, I would say, it is important to see it, and it is also not surprising. On a gross profit level, we see a strong increase based on the revenue increase from waipu. We also see an increase here because of the growing number of customers. And if we look into the EBITDA, yes, we definitely see on the media broadcast side, freenet TV and Media Broadcast B2B. We see a stable development. This is also something what we all expected because with the price increase at freenet TV last year, we have something like a compensation of the loss of customers, and therefore, still slightly positive. And in the B2B business, we have a very stable business, but a slight cost increases, therefore, here a slight decrease. And moving to the free cash flow bridge. Change in net working capital is minus €55 million. So on a comparable level to what we saw last year. Factoring is now down to zero. So I think we expected it up to the end of the year, but we already finished here. Tax payments on a similar level than last year. CapEx, slightly lower. We invested this year into digital radio and waipu – and the waipu platform. On the other hand, last year, we had to invest into the renovation of our headquarters in Budelsdorf. Therefore, here also a similar level leases no surprises. Interest payments slightly lower than last year because, yes, we have higher interest rates. But on the other side, we have lower net debt, therefore, a slight decrease here. So all in, we have a free cash flow of €199 million. And therefore, definitely, I would expect something like €265 million up to the end of the year. So the [Technical Difficulty] the new guidance what we published today. Moving to the financial KPIs on Page 15. Yes, I think from the maturity structure of our debt, we see that there will be some refinancing necessary in 2024. I think we – all what we see is that we – it will be possible for us to refinance, it is earlier question what the conditions will be, but I do not see any big risk here from refinancing in 2024. On the balance sheet figures, we have very healthy high equity ratio of 41.7% and low leverage, which is only 0.8% if we only view into bank debt. On the next page, a financial guidance. I think we already discussed it during the call. It is narrowed definitely in both financial KPIs here and slightly increased in the EBITDA. So could be a question while the cash flow – the free cash flow forecast was not increased on the higher end. I think we – if you look into our balance sheet, you would see that the inventories are very low at the moment. So definitely, we have to increase it for the Christmas business. So therefore, we have not increased it here. But basically, it is in line with what we increased at the EBITDA. So, having said this, I would handle over back to the operator to start the Q&A session, please.
Operator: The first question comes from Tang Polo from UBS.
Polo Tang: Yes, hi, it’s Polo Tang at UBS. Just have three quick questions. The first one is, can you comment on competitive dynamics in the German mobile market? Specifically, are you seeing any change in behavior in terms of use of indirect channels by the likes of Vodafone or Telefonica Deutschland? Second question is, can you talk about how we should think about operational gearing in your mobile business? So just given the competitive tensions between the mobile network operators following the switch of 1&1 to Vodafone, do you think there is scope to improve your economics? Also, how easy is it to shift volumes from one MNO to another? And my final question is, you mentioned that you’re in strategic talks with fiber infrastructure providers that kind of clarify if you’re in discussions with them to offer mobile services? Or is it about marketing their broadband services into your stores? Thanks.
Christoph Vilanek: Polo for the questions. On the first one, I would not recognize any change in the mix of direct, indirect online or any – or a like right now, I think the announced shift from United Internet to Vodafone is something that is the industry is talking about and analysts and bankers are talking about, but it has not yet any impact on day-to-day life out there in the channels. By all means, it’s a matter of fact that United Internet is 100% direct marketing and meaning 90 plus x percent online company, and they will be able to shift at a certain stage quite silently but there is end consumer perception, nothing has changed so far. On the second one, on channel shift and economic effects. As I said, United Internet is focusing on two segments. The one is under the brand of Eins & Eins. There their main pitch is low intro pricing and then step-ups after 6 months or 12 months. That is the typical approach across the board, not only on mobile, but also on fixed line, DSL Internet access and the like. Whereas under the brands of the former Drillisch company or corporation such as [indiscernible], etcetera, they are doing online heavy-duty discount offers – sorry, discount offers and they’re just continuing to do so. So it’s a very clear segment driven approach. And why is this important? This is important because I think anybody could attack the lower end of Drillisch, whereas the typical United Internet is not so much dependent on what network operator is. Let me also state that there is a lot of question marks on the ability or, let’s say, the challenge for both companies, United Internet service Vodafone. On the transition phase, meaning huge numbers of number portability quite a challenge of implementing national roaming across all base stations, antennas, equipment, etcetera etcetera. We have been told from all market participants that this is a challenge and telecom has done it long time ago with [indiscernible] intercom who had to do it when we started with United Internet last really 6 years ago. So I think that is ultimately what is the talk of town. We also see that United Internet is still showing strong ambitions to get further frequency also on the low bandwidth. So I think it’s early to see an operational impact and economically, well, I think it’s quite obvious that Telefonica will need to come try to compensate the impact that they will have from 2026, my understanding is the 2024 and 2025. They’re – based their business relationship to United Internet is more or less based on fixed agreed and contractual binding payments, which means that they have about 24 months to prepare in the conversations that we have with Telefonica they feel I wouldn’t say relaxed, but under full control and the wellness of the impact. United is coming. We also hear that they have started a lot of initiatives on how they can save money on gone customers, meaning they can slow down the internal expenses for network growth, etcetera. They are quite obviously have also reached out to us, and we have reached out to them to discuss which of the two mentioned segments we could maybe address with their network, you are – you all know that on the cloud mobile side, we have never done Telefonica. We are there on Vodafone and Deutsche Telekom. The SIM-only segment on cloud mobile is the one that is certainly also the competitive edge towards the Drillisch brands. So this is where we have fruitful and positive discussions. But we are not in a hurry. They are not in a hurry because they have basically whatever 12 months to 24 months to move on. And we will certainly not do any step without fully looking at all impact also on our relationship to Vodafone, which we do not want to endanger at all and same goes for Deutsche Telekom. So we see definitely opportunities. And there’s an agreement, there is opportunities to attack parts of the market successfully together, those ones that we haven’t attacked both of us together. But we are looking not to shift business. We’re looking to opportunities to gain incremental business, and this will take some time, also in terms of planning and evaluating the size and option to do so. Your last question was on glass fiber. Let me rephrase it. I think I didn’t say we look into strategic cooperations. I said, we have just finished a set of 60 interviews talking to all of them and to understand what the needs and abilities are. But the outcome basically is that there is any – almost any of the – almost all of the current glass fiber – physical glass fiber providers in Germany are envisioning open access as a secondary source of revenues and contribution to their investment. You are all very much aware that the dynamics – financial dynamics of their models have been heavily impacted by the level of interest rates. I think the awareness of open access and cooperations with other ISPs as freenet is – has gained momentum big time over the last 12 months. And we can foresee a couple of ways to operate. The most simplistic one is commission-based selling through our retail chains and into our customer base of existing products. That is a pure commission-based business, which we also enjoy, but we would certainly want to get into hold of customer relationships and ownerships. So the second option is to get into something which is called open access, where we would provide customer service routers, billing, etcetera, etcetera, and renders over our servers and machinery, we are technically and competence-wise, able to do so very fast. And we learn right now what, let’s say, wholesales threshold by conditions are. And we are optimistic that this market is going to be attractive for providers such as ours. But I mean, there’s two main elements to mention. One is there is a heavy overpromise of the households pass across the board. And we do not believe into the forecast that we have been presented by any of the providers and nobody has ever met the target number so far. But I think it will be worth to start with one or two small players in 2024 and to test the market and to see how the secondary marketing of newly accessed areas will be possible and what role freenet can be there. So very, very clear. I don’t see this to be a financially objective or financially worth mentioning field in 2024 and 2025. But I see midterm ‘26 to ‘28, I see that freenet can be an important partner for the industry and freenet has with around 10 million subscribers, including the other services that we serve to end consumers. We see ourselves as a source of subscription gaining as well in this field.
Polo Tang: Thank you.
Operator: Thank you very much. The next question comes from Ulrich Rathe from Societe Generale.
Ulrich Rathe: I have two questions, please. The first one is in the release, you say it is very realistic that the 2025 EBITDA will reach at least €520 million. Now, compared to the €500 million or so in 2023, that doesn’t look like a very ambitious or at least at the bottom end. On the other hand, you are quite convinced of TV growth opportunity and you’re ramping marketing investments already this year. So this leads to the question, what is the EBITDA trajectory for 2024? Is it possible that we could even see a dip in EBITDA? Or is it possible that we could see a dip in the rate of EBITDA growth? That would be my first question. And the second has two parts really. First, on the TV net adds, in the near-term, so you’re sort of saying it’s accelerating excluding the Deutsche Glasfaser contribution, which is inorganic. But that backs the question how the Deutsche Glasfaser cooperation is unfolding. Could you comment a little bit on that? I think at the beginning of the year, you were quite optimistic. But there seems to be no contribution in the third quarter as far as I can tell. And the longer-term question on the TV net adds is, I mean, you mentioned the MediaMarkt/Saturn and video trends publication yourself in the presentation, have that included some pretty concerning data for the TV opportunity because they said only 7 million of the cable households still have in cost and operational about 12 million. And they also said there’s only 11% of those 7 million who are willing to switch and of those only 3% to OTT, which would be wide. So that sounded like – like this survey has an absolutely marginal opportunity for you. You said in your prepared remarks, you think this is early days and it’s presumably why you’re marketing. But could you sort of put that into the contact – into context a little bit because that survey, I think, is really quite credible as a history as well. Thank you.
Christoph Vilanek: Yes. Thank you, Ulrich. On the first one, I think the statement always was that 2025 will be beyond €520 million. So in a way, the trajectory is not incorporated in that statement. I think it’s too early, obviously, to state something about 2024. We are currently in the budget phase. And without going into too much detail, there is a couple of things where we think we could invest into faster growth. And one is the topic that you have just mentioned, and I kind of go back to what you – to your point about the cable. So my answer is I wouldn’t expect a dip, but I would not see a straight trajectory or a straight line up by – as a comment, I would think it’s a matter of identifying opportunities and then reviewing capital deployment. And I think later on, Ingo will certainly – Ingo will talk about that a little bit because typically, it’s one of the questions. Second one on Deutsche Glasfaser and the waipu development. What I would say the good thing is that we have been able to accelerate without this, the Deutsche Glasfaser/ type of semi and organic development. So which means that word-of-mouth’s own campaigning, etcetera, etcetera, it’s working pretty well, and I’m expecting an even stronger quarter Q4, as I indicated already 3 months ago. I think that Deutsche Glasfaser is not delivering the numbers that we have sold at the beginning of the year is, I think, is a bit reflecting the glass fiber market. Those companies had to struggle or are struggling with refinancing with investment planning with a lot of difficulties to meet their own targets in terms of penetration, homes passed, fiber-to-the-curb and everything that you can think of. And that typically leads to refocus. And that is what we saw with Deutsche Glasfaser, I’ve spoke to Andreas Pfisterer a couple of times. And he says, Christoph, I like your products. And I know that we have committed or we have promised to work hard on it, but I need my – all my resources for other stuff. So I think it’s just a delay, but it’s a reflection of what’s going on in the German fiber market. You have also witnessed a couple of insolvencies yet. So these people are all busy with other stuff, and that’s the reason why. On the last one, on the cable, let me state once again. The total number of cable households is plus/minus 12 million. 5 million of those are not in this NIM, cost and privilege. So it said – by the way, it said it’s not. I have never seen proof. It said that about third, which would be the equivalent of the 5 million, have direct relationships to any of the cable operators, and that’s mainly Vodafone and Tele Columbus. These people are paying today €23 to €25 a month, typically plus €5 rental fee for a set-top box. The good thing from a perspective of Vodafone and Tele Columbus is that these are non-customers and they have kind of a building relationship. Why do I say kind of? The difference to our mobile business is, and this is what we have learned, not only from our relationship to Deutsche Glasfaser on fiber, but also talking to Tele Columbus, that they have not taken care about cross-selling admissions and so on and so forth over the past 10 years. So yes, the could name customers, but they cannot address all of them, first of all. So, I think the relationship of those customers is not at all comparable to one & one mobile operator to their customers. Second is that these people obviously pay more than €25 a month for a product, which is a legacy product with a very limited set of features. And you all remember that Vodafone was proud to increase the prices their prices there by €3. I hope today, increasingly, again and again, because then the price difference to our service that becomes even more obvious. So let them raise the prices and then let us tell them that for half of it, meaning €13, they get a much better product for more devices, which is available mobile and so on and so forth with catch-up with recordings with 250 channels with 200 channels in HD and so on and so forth. So I would not – if I was in any of their offices, I would not be so sure that this 5 million are fully stable. Because those 5 million are also fixed network customers. Those 5 million all have a SIM card. And statistically, 10% of those are with us, 10% obviously United Internet and 30% are with Telefonica and 30% are with Deutsche Telekom. So we will massively address these customers and make them aware that they’re currently paying way too much for a mediocre product. And then we talk about the other 7 million, which are the ones that pay typically €8, and those €8 are incorporated in their monthly lease. These are the ones where we currently test, as I said, in two quarters in Munich. But we really try to understand what makes – what moves the needle and what is the service all about. And so this is a description of – and I’m not contradicting the survey. I’m just doubting it because the service did to other statements and even Vodafone expect 30% to leave, which is strange if the kind of monopolist makes a different statement than some survey, which was paid by, I don’t know, whom. And then I would not underestimate a third element of it. The German private TV channels, make living from advertising, but they love Magenta, waipu and Zattoo, because their distribution income is indefinitely higher on cable – on IP than it is on the cable or satellite. These guys want to get rid of enormous expenses on satellite dishes and satellite carrier fee – carriage fees, same as carriage fees on cable. So they are ready to support any move into IP. And the fact that they are doing advertising for RTL+ for join and so on and so forth, are all indicators. Magenta last week has launched a campaign where he said, if you move now to MagentaTV, you get it free of charge till end of June, so that you can test it free of charge before you – and then decide whether you get away – go away from cable. So, the only thing I can say, I’m not – I do not believe that within the next 24 months, there is like 60% or 70% of those. But a survey that states 89% stay with the legacy technology, to me is a paid survey from a certain group of lobbies and it’s not reflecting reality.
Ulrich Rathe: That’s very helpful. Thank you for taking time to discuss in detail. Thank you.
Operator: Thanks a lot. The next question comes from Stephane Beyazian from ODDO BHF.
Stephane Beyazian: Yes. Thank you. I’ve got three, if that’s possible. The first one is, could you teach us a little bit on sort of your calculation approach for the waipu.tv acquisition cost economics or, let’s say, return on investments, so that I can sort of better connect the impact on the EBITDA with the growth of the number of customers? My second question is, do you have any visibility on who’s already – you just mentioned Magenta was already quite active to target the cable clients? And don’t you think that if you’re not pushing a bundle with broadband, you actually might be missing an opportunity or perhaps leaving some room for Magenta that could be more bundling with broadband, which I think you’re still not doing much. And finally, just a question on the outlook. I think you’ve been on – I would say, you’ve been running on relatively quite optimized tax – cash taxes and a little bit higher working capital. And I was just wondering whether from 2024, we might be expecting perhaps a little more cash taxes and clearly less working capital.
Christoph Vilanek: Okay. Stephane, we have only heard half your first question. Sorry, I don’t know what actually happened. Will you please be to kind of repeat?
Stephane Beyazian: Absolutely. So yes, I had three. The first one is – so can you teach us a little bit on how you calculate the economic for the acquisition cost of waipu.tv clients, so to better connect the impact on EBITDA versus the customer growth? The second one is, do you have any visibility on who’s already very active to target the cable clients, and you mentioned Magenta? And don’t you think that compared to them, which I think they are probably bundling a little more with the broadband product. You might be perhaps missing an opportunity by not trying to bundle the waipu with the broadband. And finally, regarding the outlook, I was just wondering whether you can make any sort of medium-term comments on cash taxes and working capital because I would tend to say that your cash taxes have been quite optimized and relatively low when working capital has been relatively higher. So I was wondering whether we could see any change in these two elements, medium term? Thank you.
Christoph Vilanek: Yes. Stephane, thanks for the question. I’ll take the first two. Well, on the economics, we have never disclosed really this acquisition costs. But maybe I give you a bit of a flavor. There are two elements in the acquisition cost for waipu, one is the straightforward online or media costs. And the second one is always whether we do invest into a free of charge or discounted device, so to speak. The overall return of that free of charge month is not the way to go. It’s – the discounted price is much better. We aim to have a full return of our acquisition costs within the period of 24 months, and it might vary from 6 months to 24 months. But we are not giving more details also for competitive reasons, I’m sorry, this is concise with our other statements on this. But if you want to go, let maybe a bit more in the mechanics, I think the team would help you outside these calls. Your second comment, I’m fully with you. In fact, Magenta has a relationship to almost any of the German households due to the old fixed line connectivity. They can bundle with broadband, they can bundle with any other services. But I look at facts and figures, and I can see that during the first quarter, the total net adds were 80,000 hours were made way higher. So I think, yes, they are in a better starting position but maybe their focus is not the one that we have. And in older statements that I made on long-term view, I always stated that I would expect Deutsche Telekom to own at least 30% to 40% of the IP market. And I always say that about another 30% will go with Vodafone at the output or as a legacy or heritage from their cable. So if we go for 20% to 25% market share, I think that is very realistic, and that would be big enough for us. So yes, you’re right, in a way, but we think there is still enough space for us to act. Also think about all the satellite dish customers from today, the sooner or later with also the – that the other technology is better. And any activity from Magenta, any activity from Zattoo, but also Netflix join in RTL are supporting the notion of end consumers that cable or satellite or DVB-T are not the only ones. But in contrary are weaker versions to consume moving pictures, linear non-linear. So, yes, we are watching the others. But so far, we see that with a better focus and a better product, we are more successful. Ingo, do you want to talk about cash tax?
Ingo Arnold: Yes. On the one hand, you asked about working capital. I think what we do see at the moment is that we used working capital of €55 million up to the end of September, I think mainly influenced from the one side that we reduced factoring on the other side that we reduced the inventories, so in different directions. So I would not expect big changes in the fourth quarter here. I think what I already mentioned earlier is that we have to increase the inventories for the Christmas business. But I think it could be possible that working capital will be something like stable during the rest of the year. And then you asked about tax payments. I think it’s a normal development, what we see up to now up to the end of the year, it will be something between €30 million and €35 million, what we will have to be paid as taxes. And I think this is something what I would also expect from today’s point of view for next year. So I think – I do not expect any surprises in cash – in taxes, which has to be paid.
Stephane Beyazian: Thank you very much.
Operator: Thank you very much. The next question comes from Krahn Titus.
Titus Krahn: Hi. Good morning all. Thanks very much. It’s Titus Krahn from Bank of America. Just a couple of quick questions from my side. First, a very quick follow-on on this Magenta offer to provide cable customers free access for. I think it’s now basically seven months, eight months until the cable privilege ends. Would you think that’s an opportunity for you as well? Would you kind of go into a similar path to improve marketing of waipu.tv as well? And then second question, just on the freenet TV numbers. I think – and please correct me if my math is wrong, but the absolute EBITDA growth this quarter was negative for the first time in many, many quarters, I think dating back to 2020. Is that kind of the right timing to revisit pricing again, or would you rather kind of feel comfortable with a small decline in EBITDA going forward and that to continue while you are shifting your subscribers to waipu? And then maybe if I may, just a very quick last third question, a bit more open. I mean during the earnings season, we have heard at least anecdotal commentary about a bit more cautious German consumer at the moment, we do see lower handset sales for you as well this quarter. That’s a lower margin, of course. But could you maybe comment about the demand situation elsewhere as well, particularly in the telco market and also DLS, to what extent do you see some down spinning and kind of what’s the atmosphere in general? Thank you.
Christoph Vilanek: Yes. Thanks Titus. I think the first one, no doubt, we also are looking into these kind of offers, but our main offer is not a six-month free of charge till the end of June. And this is related to the fact that we have seen that if you give it six months free of charge, then people don’t even really start to engage with the product. So, we are not convinced about that kind of offer, but we also do now Black Week offers, we will do bring introduction. We also will go close the gap between now and the loss of the cable privilege. So, we are doing all kinds of these offers as well, but maybe not as outspoken or loud as the Magenta. I continue with the consumer habits, or I don’t know, feeling or environment. We can – so on mobile services and also in our core business, I would not see any impact fatigue of consumption, also not on DLAs. The conversion rates are on the same level as they have been in the past. We do see slow consumer adoption on devices. We have already seen iPhone 15. I think that was the first time where the shortage was closed after two weeks. It was the first time that the demand went the way after two weeks. So, it was really only past early adopters that were keen on having it. So, the perception of the grade of innovation is low, and I think people are right. And the same goes for any other devices on the mobile side. I think the even worse, we always were very clear that GRAVIS for us it’s more a – let’s say, a prestigious brand-driven business, which contributes as typically with the range of 1% to 3% depending on the year. But we see that by nine months, the revenues that we are generating in GRAVIS is about 10% – almost 15% below what we have expected. So, in that sense, the fact that we are still good on revenue shows that service revenues have come up and also advertising revenues have come up. So, we were able to compensate that. So, we see a difficult mood in all electronics, we see that people have – but this is our explanation. And we see the people during the period of Corona and shutdowns, they have reequipped anything they had and renewed everything they had on what we call white goods, so kitchen stuff, washing machines, etcetera, which was the same as TV sales. I mean TV sales is down 27%, I think our GFK this year compared to the previous year, PCs, laptops, tablets are also significantly down at the same level. So, there is tough times for people fully depending on that range. I think by the way Magenta [ph] is doing a very nice job to compensate that to the other improvements they have and they also take the benefit from the balance they bring across their multi-country distribution. But I look at GFK numbers, which are certainly also bigger deal. And quite obviously, other industries are heavily suffering, I heard some that they are going down, I heard about Samsung, and then on the white goods side, it’s drama. So far, we are not affected.
Ingo Arnold: And Titus, your question about freenet TV, you are totally correct that this was the first quarter this year that we saw a negative EBITDA from freenet TV. I think it’s obvious that this is linked to the decreasing number of subscribers. And on the other hand, the loss is relatively small. And it is also – could also be explained with some additional marketing expenses, especially in the third quarter, where we have the vouchers, which are a lot of – a big number of vouchers, which is due typically. On the other hand, you asked about price increases. I think yes, there is nothing planned now to increase prices further, but there is the inflationary background. So, I think it could be possible to do so. But yes, definitely, we have not yet planned. I think we will put it on the agenda in 2024, and then we will decide what to do. On the other hand, we had some customers who are not – who are contractual subscribers. So, in these cases, we have up to now not increased the prices. So, there would be a chance to use this. But also, this is not decided. So, yes, I think we will try to keep the results from freenet TV stable, but yes, it will be difficult with the decreasing number of customers. But I think – and this is the good news, the effects are very small for the EBITDA all in for us here. It’s no real risk.
Titus Krahn: Okay. Thank you. Very helpful. Thank you very much.
Operator: Thanks a lot. The next question comes from Adam Fox-Rumley from HSBC.
Adam Fox-Rumley: Thank you very much. There was – you mentioned refinancing in your prepared remarks. You have got a bit of cash on the balance sheet. I just wondered if you could talk a little bit about where you think – what your thoughts are on the balance sheet and given the levels of leverage, the repayments due and your optionality. I know that we often kind of come back to the prospect or otherwise of the share buyback at some stage. And then a more kind of detailed question on the mobile gross margin, it’s been extremely consistent this year or basically for the last four quarters. So, you faced a bit of a step up in the comp in Q4. Is there anything we need to think about for that quarter – for the upcoming quarter and then rolling into next year on that trajectory? Thank you.
Ingo Arnold: Yes. Good morning, Adam. Thanks for your questions. So, first question about capital allocation. Yes, definitely, cash conversion is high. Balance sheet is very fine. I think we are just in the budgeting process for next year. So – and afterwards, I think we can find a decision of what to do with the money of the cash flow we have. I think basic statement is still the same. If we find good opportunities to invest the cash what we generate into the business, then we would use it to make the business even more sustainable for the future. If there would be no ideas, still, we pay out 80% of the free cash flow as dividends. This is not new. And then I think during 2024 or early ‘24, we have to decide about a share buyback. But I think we have to do it based on effects, and we will have the effects when we did the budgeting process and therefore, no decision up to now. Then you asked, if I got you correct about the margins what we generate and the stable margins what we generate, I think this is – yes, I mentioned it already earlier in the call that we see these stable developments on the gross profit side. And from today’s point of view, I do not see reasons for any changes. So, yes, I – from today’s point of view, I would forecast it also in the future. But again, here, we do our budgeting now. And afterwards, we will give you details, especially at the end of Feb, when we publish full year results, when we publish our guidance, etcetera. So, I think I would ask you to wait up to that.
Adam Fox-Rumley: I will look forward to. Thank you, Ingo.
Operator: Thank you very much. The next question comes from Usman Ghazi from Berenberg. Mr. Ghazi, you can speak now.
Usman Ghazi: Hi gentlemen. Thank you for the opportunity. I just got two questions, please. One is on mobile. One is on waipu.tv. So, in mobile, we have seen the kind of position statement from the Cartel Office yesterday, where they are kind of asking for a stricter enforcement of the service provider obligation if BNetzA was to extend the spectrum licenses. And I am just wondering if – I mean this is kind of unprecedented, it seems to me. And I am just wondering how you see that statement in light of the – obviously, the negotiations you are having with Telefonica Deutschland and any benefit this intervention could have for you? That was the first question. The second question is on the brand awareness detail that you have given with results, it is very helpful. So, you only – I mean I guess you have said that you wanted to spend €10 million in marketing through the second half 2023. I guess you have gone through half of that, but already one into cable customers where waipu as an alternative. I was just wondering what your ambition is in terms of where do you want to get brand awareness to ahead of July before you kind of, I guess take your pedal off the marketing, so to speak? Thank you.
Christoph Vilanek: Okay. Well, one the first one, I think I mean the officiality of the statement was unprecedented, we had the similar statement last – with last auction as well. Thank you very much. I appreciate the fact that it did so. It’s hard to predict what the outcome is. I know that United Internet is forcing them to also get them some of the – some part of the upcoming auction of BNetzA. So, I think it’s an open statement and it’s a result of I think our lobby as well and many other people working hard on it. I stopped to predict any outcome because we have seen strange moves of the BNetzA in very late stages. So, bear with me and accept my statement here. On the second one, we did a survey most recently with us and consumers about the awareness of – the awareness of waipu. The outcome was that from February 2023 to August 2023, the people that said they have not – never heard of BNetzA, they don’t know it, it was at 57% in February and it was 50% in August. So, I think that is a good move. I think the target must be the private turn of – by the change of the ruling in July. I would hope that at least 70% of the customer of the cable, customers have learned of the waipu and understand what it is. That’s kind of the interim target. As I have said, right now we are on 60%, which is a good range. If we go to 70%, I think that would be a good target.
Usman Ghazi: Right. And perhaps if I could ask a follow-up, so what you have indicated that, I guess instead of going to a Magenta strategy, would just give kind of free service, you are exploring if you ship out these waipu.tv sticks with cable customers for them to try before they buy. So, I mean do you have a – I mean obviously, the waipu.tv stick would be €50, I mean do you intend this to be a trial, or do you think that it would be better to just shift this out in mass to…?
Christoph Vilanek: I don’t think it’s a mass shipment. And I will also – if we would do it, we would not announce it, so that the others can prepare. But part of the test is exactly there. I mean any of our customers, who know the Internet access as we know the location, so we will run a couple of tests early stage in the – during the first quarter to invite customers to test the service, to change the device. So, it’s going to be multiple testing and to then see in which segments, research and demographics, which environment these kind of things might be the most valuable and most efficient way to market.
Usman Ghazi: Thank you very much.
Operator: Thank you. The next question comes from Simon Stippig from Warburg Research.
Simon Stippig: Good morning. My first question would be in regards to the Telefonica acquisition of the remaining free float by the majority shareholder. And in regard to that, does it make any difference for you in negotiation, potentially any delays? And secondly to that, could you maybe tell us some insights into how – what the status quo is and how you actually could see the partnership intensifying? My second question would be in regard to financials. In personnel costs, what trajectory do you see in the next year? Is it in line with inflation? It would be great if you could get – if you could provide any insight into it? And then did you dissolve any provisions in Q3? Actually, one last one if I may, in regards to CapEx, you mentioned that you spent some CapEx in regard to the waipu platform. Could you explain a little bit where you spend the CapEx and then also quantify it? Thank you very much.
Christoph Vilanek: Yes. Thank you. On the first one, I mean, we have been informed, as you were on the Telefonica public offer for the remaining stakes. I don’t think it’s going to be a big change. I think the – certainly, the outcome will be that a couple of decisions that have been more difficult with broad shareholder and the risk of discriminating small shareholders when you do decisions on joint efforts, joint technology, etcetera, etcetera. I think that will go away and that should – still should result in a more flexible and faster organization. That is my outside review. I think for obvious reasons, it’s too early to see whether it has an impact. I do not expect any impact on our talks. I mean the challenge that Telefonica Deutschland has by losing United Internet as their big partner remains the same, and they still are contributing an important part of free cash flow to the bottom line result of Telefonica as a total corporation. So, I would not expect any changes.
Ingo Arnold: And then your financial question, Simon, I will start with the provisions. So, yes, I think we have so many provisions. Therefore, definitely some of them are released during the quarter. But I think you linked your questions to any big provisions, which could have a relevant influence on the results. And there, I would say, definitely no, so especially about the provisions, what we talked about when we build it. None of these have been released. So, on the personnel cost development for next year, yes, definitely, we will see wage increases. But on the other hand, and this is something which could be compared with this year. On the one hand, it’s difficult to replace stuff that we lose. So, on the one hand, I would expect a lower number of FTE. On the one hand, I would expect higher wages. So – and therefore, definitely there will be an increase of personnel costs next year. But will it be 5%, I do not exactly know. I think we are in these discussions at the moment, the budget discussions. But yes. But at the end of the day, I would expect something like this. On the CapEx side, yes, we have to invest into the waipu platform, especially if we grow the customer base that fast and to be prepared for what we hopefully can expect next year, a strange increase of customers – strong increase of customers, yes. So therefore, we invested something like €5 million during the year in the platform. And definitely, there will be further investment next year, but nothing untypical or untypical size.
Simon Stippig: Okay. Thank you.
Operator: Thank you very much. And the next question comes from Ulrich Rathe, Société Générale.
Ulrich Rathe: Yes. Thanks for that. And I just wanted to clarify one answer from Mr. Arnold. On the EBITDA contribution from freenet, was this a comment that the actual EBITDA contribution of freenet TV was negative, or was it a comment on the year-on-year change was negative? Thank you for that clarification.
Ingo Arnold: Yes, definitely, it was the year-on-year change. It is generating gross profit and EBITDA, but it is not generating that much gross profit and EBITDA than last year.
Ulrich Rathe: Thank you.
Ingo Arnold: Thanks Ulrich.
Christoph Vilanek: Thanks for the clarifying question. I had to say no for that moment. I mean, Media Broadcast, as I think the full year contribution will be even a bit higher than last year. But we foresee that this is not going to continue because if – I mean you can easily do the math. If you lose 100,000 customers on freenet TV with the monthly net payment close to €7, I think it will have an impact. But I mean this is why we have – we are lucky and we have strategically rightly invested into two different ends of the TV business. And to give you just a flavor, I mean we have on waipu.tv 16% of the usage is on what we call FAST Channels where we do replace or insert our old ads. And this is – it was a small business 12 months ago. In October, it was the first time where we generated €2 million on advertising revenues. More than 50% go to the content deliverers. But still, I mean close to whatever €600,000, €700,000 net profit out of the business, which is fully automated and is growing month-by-month. These are the things that are there to compensate the other services and also the downturn having of freenet TV as an individual part of Media Broadcast. Okay. I don’t see any more questions, and we wanted to close this session after 90 minutes. Thank you very much for your high engagement. Thank you very much for the patience that been dropped out. We are mobile company on the fixed network and any time we work with fixed network, we run into small problems. We are going to take care and moving to Glasfaser next year and we will hopefully repair and be prepared. So, all the best. Thanks to all of you and talk to you soon, see and speak to you soon.